Operator: Good day, ladies and gentlemen. Welcome to the Limelight Networks 2011 Fourth Quarter Financial Results Conference Call. [Operator Instructions] I'll now turn the call over to Doug Lindroth, CFO. Please go ahead, sir. 
Douglas Lindroth: Good afternoon, and thank you for joining the Limelight Networks Fourth Quarter 2011 Financial Results Conference Call. This call is being recorded on February 13, 2012, and will be archived on our website for approximately 10 days. If you are online, we have updated our standard investor presentation, and you can find it in PDF format within the Investors section of our website.
 Some portions of this conference call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are all statements that are not strictly statements of historical fact, such as statements regarding future events or future financial performance, including but not limited to, statements relating to Limelight Networks' market opportunity and future business prospects, guidance on financial results, statements concerning anticipated future growth and profitability, as well as management's plans, goals, strategies, expectations, hopes and beliefs, and statements concerning the anticipated effects of pending or completed business combinations or other strategic transactions.
 These forward-looking statements are subject to risks, uncertainties and other factors that could cause the actual results to differ materially from those contained, projected or implied in the forward-looking statements, including the inherent risks associated with litigation, particularly intellectual property-based litigation. Reported results should not be considered an indication of future performance. Factors that could cause actual results to differ are included in the company's periodic filings with the Securities and Exchange Commission.
 I would now like to introduce Jeff Lunsford, Limelight's Chief Executive Officer. 
Jeffrey Lunsford: Good afternoon. Thank you for joining us. The fourth quarter of 2011 was a very good quarter for Limelight in multiple ways. We beat our forecasts for revenue and earnings. We saw a healthy gross margin expansion. We saw a 9% sequential growth of core content delivery revenue. We saw content delivery pricing continue to firm up into more healthy, historical ranges. We saw value-added services grow 70% year-over-year and approach 1/3 of our revenue. And we returned cash to our shareholders in the form of a buyback which has, since inception, repurchased almost 9% of the company in an average price approximately 36% lower than where LLNW closed today. 
 We're strong believers in Limelight's brilliant future as an innovative provider of high value, high performance cloud-based services that will help businesses around the globe more efficiently and more effectively manage their digital presence across Internet, mobile and social channels. 
 We are doing something truly unique to Limelight Networks. We are optimizing our integrated suite of high value software-as-a-service solutions for managing a company's digital presence. These include Limelight Video Platform, Limelight Dynamic Site Platform, Limelight Mobile and Limelight Accelerate. We are optimizing these with our global high-performance platform-as-a-service solutions, which include Limelight DELIVER, Limelight STREAM and Limelight Agile Storage. 
 Each of these solutions is innovative and competitive on a stand-alone basis, and when you blend them together, you get a suite for managing a business' digital presence where the whole is more valuable than the parts, just like you get with other successful suites in the software pass, such as Microsoft Office suite, Adobe's digital media suite and so forth.
 Ours is a suite for the digital presence era, when a company's image, brand proposition and customer experience must be managed across a myriad of digital channels. With a combination of our software-as-a-service solutions, cloud solutions and our platform, our customers enjoy the benefits of an entirely new one-of-a-kind offering, which is differentiated from point solutions and which is delivered with the unparalleled performance for which Limelight is known. 
 Our customers and prospect's eyes light up when we show them this integrated suite, and our pipeline is growing with opportunities.
 Specifics regarding value-added service and performance in the quarter included: Revenue for the Limelight Video Platform grew in excess of 160% year-over-year; and revenue for Limelight Mobile grew in excess of 70% year-over-year. We are seeing these 2 areas combine as a category. And together, they more than doubled over Q4 2010. Our talented engineers have developed differentiated in competitive solutions in both of these areas and we expect Limelight Video Platform and Limelight Mobile to be big growth drivers for us in 2012.
 Revenue for Limelight Site Acceleration solutions grew in excess of 25% year-over-year. One of our key growth initiatives is to expand into the whole slide and small object half of the content delivery market, which represents a $1 billion plus market opportunity. We are focused on gaining market share in this area. 
 In the quarter, our engineers delivered a fully integrated Accelerate solution, combining our whole site content delivery solution with the front-end acceleration technology our Limelight Israel team has developed. We can now deploy and run these as a combined solution. Or we can sell front-end acceleration to a business using another CDN and still offer them time-to-action  improvement on the order of 30-plus percent.
 Front-end acceleration is a large market opportunity with almost 0 market penetration. And it offers even greater improvement on mobile sites than it does on websites. A recurring theme in the user-center design ranks of forward-thinking companies is now mobile first, web second. With Limelight Mobile and Limelight Accelerate, our customers can design user interaction with this mandate in mind. 
 Cloud storage revenue grew in excess of 55% year-over-year. In the quarter, we put more customers into production on Limelight agile storage, a high-performance, differentiated cloud storage offering, which leverages our massively provision global computing platform, which runs in over 70 data centers around the world, is connected via the 50 gigabits per second backbone links and boasts approximately 8 terabits per second of download and upload capacity with last mile providers.
 We view cloud storage as a multibillion dollar market opportunity where we are just getting started and where we offer much better performance in capital efficiency than in-house solutions chewing up IT budgets today. Forrester Research recently published a study demonstrating that cloud storage costs 74% less than do-it-yourself in-house storage. In their example, 100 terabytes in cloud storage costs $251,000 per year compared to the approximately $1 million price tag plus ongoing operating and maintenance cost for internal storage.
 Revenue for our cloud-based web content management solution, now called Limelight Dynamic Site, was flat on a pro forma basis. This business was not growing when we acquired it, and it takes multiple quarters to see the benefit of our added sales capacity flow into the recurring revenue base of the SaaS business. We are seeing nice pipeline and bookings growth here though, and believe that our cloud-based web content management solution will address a large and attractive market opportunity and that we're just getting established.
 Bookings in the second half of 2011 for this solution were almost triple what they were in the second half of 2010, which is a good leading indicator. Consulting revenue was flat from Q3 on a full-year basis. Looking forward, we are expecting this consulting business to grow 20-plus percent per year. And we also plan on building an ecosystem of distribution partners who will build implementation and business optimization consulting practices around the Limelight suite.
 Now I'd like to review some customer success stories. As mentioned, we are especially pleased with our progress in selling our software-as-a-service and other cloud services to existing customers. The message is resonating in the market, especially within our existing customer base. A great example is Vance Publishing, a leader in business information and communications. Who was initially a customer using both our web content management solution and LimelightDELIVER, our content delivery solution. 
 In the past quarter, we expanded the relationship by adding Limelight video platform to their suite of Limelight solutions. Vance Publishing seized the benefit of a scalable, comprehensive and integrated web content management platform that encompasses video. They've been impressed enough with our service and vision to make us their partner in leveraging the opportunities, social, mobile and Internet representing it.
 Success stories span the globe. Recent customer wins in both Japan, with IMJ Panasonic, and in India, with Punjab Kesari Group, encompass  not only core content delivery services but also our software-as-a-service solutions and other value-added solutions. IMJ Panasonic leveraged our expertise in building out a live IP to HDTV experience. Punjab Kesari, one of India's leading newspaper groups, turned to Limelight to help them streamline the process of uploading, managing and delivering their growing video library, as well as to ensure maximum site performance for their expanding global audience.
 Q4 was a record quarter for our Limelight Video Platform team on many fronts, including number of video plays, total traffic served and total number of visitors. Limelight Video Platform enjoyed a 21% increase in traffic served over Q3. And while catering to this traffic, still managed to release many new features, notably HLS, for delivering to the Apple iOS, analytics for measuring mobile global consumption and APIs for search and modification callbacks.
 New Limelight Video Platform customers in the quarter included Sky News Arabia, who's using Limelight Video Platform to launch a new site with one of their partners, utilizing our mobile Limelight Video Platform and Accelerate solutions; Lockers, who is using Limelight Video Platform for delivering syndicated content to help drive membership and revenue growth; Forex Capital Markets, who is using Limelight Video Platform to publish analyst commentary for both paid and non-paid subscribers; and Kaspersky Lab, who is using Limelight video platform to publish product videos internationally. We are proud to be a key enabling partners for these innovative and growing businesses, as they work to enhance and optimize their digital presence.
 New Dynamic Site Platform customers, which is our cloud-based web content management solution, a sign in the quarter include Aero Electronics, which is also utilizing the Limelight Video Platform and Palo Alto Networks, which is using dynamic site platform to support global marketing efforts for their rapid growth.
 In 2011, we also continued to see exciting growth on our Limelight Mobile platform, with nearly 1 billion media requests made, which is nearly double the volume served in 2010. 
 At the end of Q4, Limelight added over 300 customers, leveraging our mobility capabilities across Limelight Mobile, Limelight Video Platform and Limelight Dynamic Site platform. Including digital media companies like CBS, QBC, ESPN, HBO and enterprises like Sienna, PR Newswire and Gray TV.
 Our web and application acceleration services also continued to expand in Q4. We believe Limelight Accelerate is currently the only solution on the market that combines browser-based acceleration with a robust delivery platform from a single vendor, decreasing the time it takes for users to interact with the website no matter what connected device they're using. Customers benefit from more completed transactions, more successful conversions and increased visitor loyalty. 
 Launched in 2010, we continue to see aggressive growth in this -- of this market driven primarily by e-commerce and B2B enterprises. Wafayer is a good example of an e-commerce customer. They're a multinational company that sells furniture, home furnishings, luggage, toys and pet items for over 5,000 brands. Their web properties generate dynamic content to enable unique and customized experiences for users. Wafayer required a solution that could optimize dynamic content on-the-fly. Results with Limelight Accelerate included a 17% increase in page views, 7% increase in conversion rates and 21% increase in customer satisfaction.
 Limelight is, to our knowledge, the only CDN to have embedded these patent-pending front-end optimization technologies at the edge of the Internet. We believe the recent industry interest in the front-end optimization line of services should benefit our customer acquisition efforts. 
 During the quarter, we added a number of high-profile customers on our Limelight Accelerate suite of services, including Sky News Arabia, the social media site Yuzu and kristiealley.com. Another tremendous growth opportunity is our cloud storage offering, limelight Agile Storage. Agile is a high-performance secure cloud storage solution that enables customers to move, share and archive large amounts of data. As an important extension beyond core content delivery offerings, agile storage is a cloud-based solution with global geographic placement, business process management for content and business policy controls to simplify administrative overhead, reduce long-term IT cost and ensure compliance to regulatory standards. We believe Limelight Agile Storage is unique in offering the most robust policy management and performance capability on the market today. And Agile Storage is backed by a global computing platform, which allows files to be accessible wherever and whenever users need them at blazing fast speeds.
 Our agile storage customers represent a strong cross vertical medical adoption including global gaming, entertainment, social media and publishing organizations. These customers are using the service because storing large amounts of data, applications, media files, video et cetera is difficult and time-consuming to manage, expensive and slow to move, and requires 24x7  availability. We believe the key driver of storage success will continue to be regulatory compliance, as companies migrate off of [indiscernible] traditional tape-based on premise legacy solutions with the cloud storage enabling them to turn CapEx storage cost into OpEx services cost.
 A second key driver will continue to be the booming mobile application market, requiring application vendors and enterprises to deliver globally and take advantage of unique capabilities of different connected device platforms. Agile Storage bundled with our delivery services is a low-cost and easy way to deliver apps to employees, partners and customers.
 Finally, an exciting opportunity and challenge presents itself for network, mobile and cable operators with the explosion of video, connected devices and over-the-top services. The success of over-the-top services such as Netflix, Hulu, both of which are good Limelight customers, and YouTube and others represents an opportunity and a challenge to network operators. The success has driven billions of dollars in additional costs for operators and a desire to develop solutions of their own. 
 Given Limelight's core expertise in building, managing and scaling a network-centric CDN over the past 11 years and our integrated cloud-based online video content management storage platforms, we are uniquely qualified to enable operators and major broadcasters to address their cost challenge and capitalize in this market opportunity with a comprehensive solution. We recently announced Limelight Deploy as our manage CDN offering designed for network, mobile and cable to deploy within their own infrastructure and enable them to more efficiently handle the content congesting their networks while also creating new and compelling value-added services revenue for their -- both their business customers and end subscribers.
 Our Limelight Deploy manage CDN offering, together with our complete stack of software-as-a-service applications and professional services uniquely qualifies to help operators capitalize on this opportunity. Companies such as Bell Canada, Middle East Broadcasting Company and Motif TV, where we recently supported leading mobile carriers successfully delivering broadcast quality live video coverage of a high-profile U.S. sporting event have all recognized the value of partnering with Limelight for an integrated managed solution that helps them capitalize on this shift from linear programming to on-demand IP-based programming the launch has generated a strong response and we're currently working with other network providers around the globe to help them seize the opportunity that the exploding adoption of IP video presents.
 As you can see, we have a lot of value for delivering our customers beyond the traditional content delivery. We're happy with the progress of integrating these software-as-a-service solutions and other cloud-based services with our distributed computing platform and with the customer market adoption for this integrated value proposition. As a go to market, we will continue to focus on 3 key market segments: Digital media, enterprise and network operators. And we'll continue to emphasize selling integrated value-added solutions to simplify the growing complexities of delivering brilliant experiences across online, mobile and social channels for their entire digital presence. 
 I'll now turn it over to Doug for the financials. Doug? 
Douglas Lindroth: Thanks, Jeff. Please note the following financial results that I will be discussing are for continuing operations and exclude EyeWonder and cores from current and prior periods. For more information regarding discontinued operations, please see our third quarter Form 10-Q and our 10-K that we plan to file in the next few weeks.
 During the fourth quarter, Limelight Networks reported total revenue of $46 million, up 7% from the fourth quarter of 2010 and up 9% sequentially from Q3. For the full year, we reported $171 million of revenue from continuing operations compared to $154 million in 2010.
 Our value-added services revenue grew 70% on a year-over-year as-reported basis and was 29% of total revenue during the fourth quarter, which was flat compared to Q3 and an increase from 18% in the same period of 2010.
 During the fourth quarter, Limelight's international operations represented 30% of total revenue, which was up from 25% in the same period of 2010. For the full year, our international revenue grew 24% from 2010, and we are -- and we continue to see exciting growth opportunities in Asia-Pacific, where we had growth of over 40% from 2010.
 We reported fourth quarter adjusted EBITDA of $6.5 million compared to $3.6 million last quarter and $6.3 million for the fourth quarter of 2010. For the full year, our adjusted EBITDA was approximately $18.4 million compared to $22.4 million in 2010. As a reminder, the revenue associated with our contract to assist Microsoft with building their in-house CDN ended in February 2011. Revenue recognized specifically from this contract was approximately $8.1 million for the full year in 2010 and approximately $1.8 million in 2011.
 Our Q4 GAAP loss from continuing operations was $6 million or $0.06 per basic share compared to a GAAP loss from continuing operations of $4.3 million or $0.04 per basic share in the same period in 2010. For the full year, we reported a GAAP net loss from continuing operations of $30.1 million or $0.28 per basic share compared to $22.2 million or $0.24 per basic share in 2010.
 We also reported fourth quarter non-GAAP net loss before stock-based compensation, litigation costs, amortization of intangibles, acquisition-related expenses and discontinued operations of approximately $600,000 or $0.01 per basic share compared to a non-GAAP net loss of approximately $20,000 or breakeven per basic share in Q4 2010.
 Our non-GAAP net loss for the year was $9.7 million compared to $2.1 million in 2010. Please refer to the tables included in our press release for the reconciliation of GAAP measures to these non-GAAP measures.
 Gross margin was 40% during Q4, up from 36% last quarter. Gross margin increased in Q4 as a result of increased revenue from CDN customers with only a modest increase in our variable bandwidth costs and also due to higher gross margins from increased revenue in our value-added services. Cash gross margin was 56% for Q4, up from 53% in Q3. For the full year, cash gross margin was 54%, down from 55% in 2010.
 During the fourth quarter, our operating expenses were $25 million, an increase of approximately $1.5 million from the last quarter and an increase $4 million from Q4 2010. Our operating expenses increased over Q3 as a result of an increase in stock-based compensation of $1.2 million, as well as an increase in variable employee compensation related to the increase in revenue and bookings in Q4.
 Total depreciation and amortization for the fourth quarter was $8.6 million, flat to the third quarter and up from $6.8 million in the fourth quarter of 2010. The increase compared to Q4 2010 is related to increased network depreciation and intangible asset amortization from our acquisitions. Depreciation and amortization in the fourth quarter includes $7 million of network-related depreciation.
 Stock-based compensation expenses for the quarter were $4.2 million compared to $3 million last quarter and $3.9 million in Q4 2010.
 Moving onto the balance sheet. Our combined cash and short-term marketable securities balance on December 31 was approximately $140 million, down from approximately $158 million in the third quarter. The decrease in cash and marketable securities is primarily related to the repurchase of shares of our common stock of $15 million, capital expenses of approximately $3.5 million, offset by cash flow from operations of approximately $3.7 million.
 Days sales outstanding for the quarter were 55 days, down from 59 days the previous quarter and in Q4 2010.
 Regarding guidance for the first quarter of 2012, we expect to achieve revenues in the range of $43 million to $45 million. Our value-added services revenue is expected to grow 60% to 70% on a year-over-year basis in Q1. For this revenue range, we'd expect gross margin to be 36% to 37%. The decline in our gross margin from Q4 is related to the reduction in revenue that is coming off of our seasonally strong Q4. We believe that our gross margin will increase throughout the year as value-added services revenue gradually continue to grow as a percentage of total revenue.
 Stock-based compensation expenses for Q1 are expected to be approximately $4 million, and capital expenditures are expected to be approximately $4 million to $6 million. 
 We anticipate that our first quarter operating expenses, excluding stock-based compensation, litigation expenses and acquisition-related expenses to increase by approximately $2 million from Q4 due to an increase in company-wide employee compensation related to annual merit increases, FICO cost, increased bonus accrual, additional headcount and our Annual Global Sales conference that took place in January.
 With that, I will turn it back to Jeff. 
Jeffrey Lunsford: Thanks, Doug. This update hopefully gives you some good insight into how much we have accomplished in transforming Limelight from a pure play video CDN into an innovative provider of a high-value, high-performance integrated cloud-based services that help businesses more efficiently and effectively manage their digital presence across Internet, mobile and social channels. 
 Our strategy is simple: Keep scaling our high-performance global computing platform, keep advancing our content delivery solutions, which are simply the first application we deploy on that platform and build adjacent, high-value software-as-a-service and cloud solutions, which are complementary to our core content delivery offering. And which are differentiated from other point solutions to their interoperability and the fact that they run on our global computing platform.
 As we've executed on this plan, our bookings mix has shifted to where almost 50% of new bookings are for these value-added services. Investors should note that these value-added services have the business characteristics of software-as-a-service solutions, not CDN solutions, meaning one, we do not expect to experience the kind of year-over-year price pressure you normally see in the CDN sector; and two, that we are designed into the workflow of our customers and have much deeper and more lasting relationships with them. 
 When we sell content delivery with a value-added services, we see less discounting. To quantify this for you, on new customer bookings in Q4, when we sold content delivery bundled with the value-added service, we saw 9 absolute percentage points less discounting than when we sold content delivery standalone. This is consistent with what we've reported over the last 3 quarters, where the average value-added services benefit has been 14 absolute points less discounting on content delivery. 
 Value-added services truly add value, and they are stickier and higher margin so our bookings mix shifting in their favor pertains future value creation within our business. What is most important though is how we help our customers achieve success in their own businesses. When we can improve an e-commerce or content site time to action or time to experience by over 30%, we are helping them grow their top lines and improve their bottom lines. When we can empower a customer to manage their entire digital presence with one integrated cloud-based application that utilizes a common content repository and common meta-data across modules, we are streamlining their workflow and improving their efficiency and their ability to collaborate with colleagues across the globe. 
 These are truly valuable solutions and these are just basic examples of what Limelight Networks is now capable of. In addition to delivering broadcast quality videos, streaming games and software downloads across the globe for the world's most demanding tech and media titans. We believe we are uniquely positioned to offer our customers high-value, integrated cloud-based solutions because we've already solved some of the hardest problems in cloud computing. Those are delivering broadcast quality video to demanding hyper connected consumers across hundreds of device types across the globe. Once you've built the combined software and hardware platform that can accomplish all of that, you have a huge head start and performs advantage in writing software-as-a-service apps up at the workflow layer. We have done the heavy lifting.
 Our video CDN heritage uniquely positions us amongst all aspiring participants in the cloud movement. We're excited to execute on the opportunities this positioning presents for us in 2012. Based on the reception we are seeing in the marketplace, we intend to invest heavily in this software-as-a-service and cloud offerings and are targeting to exit 2012 with our value-added services on a $75 million to $80 million annualized revenue run rate and growing at approximately 40% year-over-year. 
 This group of high value, high margin, high-growth services is an exciting and valuable complement to our content delivery business. Our content delivery business is the anchor business which fuels and funds the growth of our global platform, upon which our value-added services run and which provides us with differentiated capabilities in each respective prospective value-added product area. We're going to build a platform, keep growing content delivery and on top of that, build a high-value software-as-a-service business.
 At this time, operator, we'll open the line up for questions. 
Operator: [Operator Instructions]  Our first question comes from the line of David Hilal of FBR. 
David Hilal: Jeff, on the deploy offering, can you walk us through the pricing a little bit? I guess what I'm trying to get at is as those operators have success selling that through to their end customers, how does Limelight benefit and monetize that? 
Jeffrey Lunsford: So deploy is a managed CDN offering, so we actually -- we'll partner with telcos. We will install our CDN software onto the infrastructure provided by the telcos, normally inside their data centers. And -- but we reach in and we manage it, and they have the ability, they resell those services to their customers, and we're managing it for them. And we can terminate traffic on their network for our customers that aren't on their network. So it's a federation of networks, so to speak. 
 And then the second big benefit Limelight deploy is the fact that we bring all of our value-added services to the table, so telcos that want to be in the entire game of OTT enablement can take much more than just content delivery to market if they partner with Limelight. 
David Hilal: Okay. And then let me ask you about the cloud storage. I think when you guys first introduced that, it was obviously targeted at your media-rich customers with big media files. And I think the goal had been to, to sell that as kind of a standalone solution to enterprises for any type of files. And so how has that effort gone selling it to the non-traditional base and into call it just the enterprise? 
Jeffrey Lunsford: So we've begun to see video is obviously the -- some of the largest files out there, and we've had big success with videos, with customers, not video content libraries for streaming purposes but for workflow purposes like digital dailies as an example. And then we have game software companies that have  globally distributed development teams that have big files that they also need to move around. And we're beginning to see early success in what I'd call the non-video area with pure enterprises. And Q4 was, as I said, a quarter where we put more customers on Limelight Agile. And we'll be looking for, David, sort of some publicly announceable proof points guys who are sort of pure enterprise guys. You'll know we really hit the vein when we start basically getting the dollars instead of going to net app and EMC, they're coming to Limelight from an OpEx standpoint. And then you'll note that we've tapped into that multibillion dollar opportunity. 
 So we have an enterprise sales team that is laser-focused on that. And Agile is unique and different because if you're in enterprise and you want to upload content based on a policy, and you want to have it in multiple different geographies based on those policies, Agile allows you to do it. And what's really cool is we have all this bandwidth that most cloud storage providers do not offer and that allows us to have uploads, download times and file movement times that are dramatically faster than what you tend to see. So that's also one of our competitive advantages. It's the policy-driven nature of it, the geographically controllable nature of it and the amount of bandwidth that we have at our disposal. 
David Hilal: And then let me asked finally, I don't think I heard AcceloWeb on the call and I don't know if I missed it. But Akamai acquired  Blaze, which sounds similar to what you guys acquired. I know it's a small acquisition for you guys. But maybe you can just compare and contrast it too and talk about this front-end optimization opportunity? Because it's clearly you guys are more aggressively pursuing it. 
Jeffrey Lunsford: Sure. Well I talked about Limelight Israel, and that is the old AcceloWeb team that's now Limelight, Israel team, and they did a great job in the quarter of actually delivering full-deployed integrated bundled front-end acceleration with a whole site CDN capabilities. And we can now go into an account and very rapidly enable someone's website with or without their involvement to show them very material performance improvements. So that's the Limelight Israel team. And we think that FEA, which we call front-end acceleration, is a huge opportunity. The folks at Akamai are obviously very smart folks and they see that same opportunity we do. 
 We think  our team and our technology is the best on the market, and we think it's going to be a greenfield market for many years to come. We're really just getting started. And so their acquisition of Blaze, I guess, validate this  space. But we think there are a lot of things that our technology does that theirs doesn't, so we're going to continue to differentiate. And the other interesting  thing about the FEA is we can go in and sell it to someone using any CDN. It doesn't need to use ours and still show them 30-plus percent improvement in page load times. And so it's a great beach-head for us into other CDN's customers and obviously the one with the most customers out there is one that has the most at risk. 
 So we think it's a huge market opportunity, and it's great value add for anybody that signs up for front-end acceleration. And whether they're looking at ours or someone else's, I encourage businesses to look at it because it's a great technology, very low sort of uptake frictions as far as upfront cost and implementation. 
Operator: And our next question comes from the line of Mike Olson of Piper Jaffray. 
Michael Olson: In your investor presentation, you talked about 70% to 80% gross margin for VAS in your target model. Is that what the margin is in that segment today or is that what you anticipate will be when you reach that target model or both? 
Douglas Lindroth: That's what we anticipate it will be when we reach that target model. As we continue to add the value-added services on top of the global computing platform, there's efficiencies that we gained. We're close to it today. We don't fully realize that. A big piece is from our Web content management acquisition, which was the click-ability that has lower margins today partly because of the deferred revenue haircut that we took when we purchased them, the amount of deferred revenue that we ultimately had to write off and don't recognize on a GAAP basis, so that's a piece of it. Plus from a scale standpoint of taking advantage of the scale, as that business grows. So it will really grow to that 70% to 80% as we expand, but certainly the VAS does today of higher gross margins than we see on the CDN side. 
Michael Olson: And has there been any just competitive landscape changes in VAS over the last 3 to 6 months? 
Jeffrey Lunsford: Well, I think you're seeing the OVP category sort of crystallize around Raikov, who, I believe is coming public this week and what we hope will be a very well executed transaction for them. And then you have Vielo which is private, then you have the Limelight Video Platform. And we're going to be one of the market leaders in that space. That's also a greenfield space. So a lot of just wide open customers that are not using a video platform today. And then to us, that expanse into web content management, Michael. So there are billions of dollars still spent on in-house content management software, running on in-house software, stacking and rack in in-house data centers maintained by expensive consultants. And that is a huge inefficiency and so we think that category grows to become web content management, mobile and online video platform all in one integrated solution. And so we believe that's where everyone will develop to its kind of obvious that you should be at a management type digital presence on 1 code base in the cloud rather than on 4. And so we think we're the leaders there, but we also think it's greenfield. There's going to be many healthy companies that are growing in that space for the next couple of years. 
 And then the other big material development would have been Akamai's pending acquisition of Cotendo, which as we were expanding, we are expanding into the small object half of the CDN market, which is $1 billion market opportunity in and of itself with a lot higher margins than the video half of the CDN market. We were competing with Cotendo and Akamai in that space, and so we like the idea of just competing with Akamai in that space. It's still a very market that's ripe for the taking. And we think our integrated FEA plus site gives us a strategic advantage there. So that would be the other material development. 
Operator: And our next question comes from the line of Donna Jaegers of D.A. Davidson. 
Donna Jaegers: A bunch of little questions. On the customer count, it looks like it was down sequentially. Is that -- I'm not sure if I'm correct in my numbers, but I wonder what do you see in sort of on the customer count for your CDN and for your value-added businesses? 
Douglas Lindroth: We don't break it out between the 2, but it was slightly down, I think in the press release schedules. Those are the corrected numbers excluding EyeWonder. So if you pull them off, the press release schedule, let me just pull it up. It was down from $16.02 to $15.65. That drop was really on small customers. What I look at on that is what the attrition is, so the dollar revenue attrition is consistent with what we've seen running around 0.5%, it's very low dollar rate of attrition. So it is impacting the number of customers, but not something that we see overly concerning. What's more positive on it is our average annualized revenue per customer, which was up about 10% sequentially. So we saw that as a positive sign. And we are seeing growth, like Jeff talked about in the prepared remarks, of our sales force doing a good job of selling into our existing customer base. So that's where we're seeing a lot of good bookings traction and pipeline growth as well is with our existing customer base. But it is something important to us as well to continue to expand the customer base, but to where there's going to be customers that are going to drive revenue. 
Donna Jaegers: Right. And then on CapEx, fourth quarter was a lot lower than I was looking for and your guidance is lower than it has been. Should we -- I mean are you guys now with the value-added services a much less capital intensive kind of company as a go forward, or are we just sort of at the stair step where you've already invested in the core CDN and you can sort of ease off that investment for the time being. 
Douglas Lindroth: Donna, it's a little bit of both. We did do some significant investment towards the end of 2010 and the first part of 2011. And we've previously talked about that had a lot to do with the build out that we're doing for Netflix. And since then, we've really been focusing on trying to fill the valleys of the CDN, which is higher gross margin, higher profitable customers within the CDN. And as a result of filling the valleys, it doesn't require us to expand the peak capacity of the network as much. So that's how we're looking at it and we think those prior investments will get us by for some time. And when you look at that guidance of $4 million to $6 million, call it 10%, 11% of our revenue guidance, we think that's a reasonable rate for this year. 
Donna Jaegers: Great, great. And then on -- any update on the lawsuit as far as timing on when you guys might expect a ruling from the Circuit Court? 
Jeffrey Lunsford: No, Donna. We have -- it's a black box, and it could be anywhere from a month to over a year from now. So we just continue to believe that we've won that case twice. The case has no merit and we're off in building our business. 
Operator: And our next question comes from the line of Aaron Schwartz of Jefferies. 
Aaron Schwartz: I have a follow-up question on the storage business. You talked about the success there and the enterprise looks on that. Before enterprise is really sort of archive some of the storage needs, do you need to partner more closely with a backup  storage company?  I know you mentioned seeing that app, but you need a formal partnership there? Can you do that on your own? 
Jeffrey Lunsford: Aaron, we can do it on our own, but we also are very pragmatic as far as how we think about go-to-market. And if someone was interested in partnering with us and that great distribution with a lot of active dialogue around cloud storage, then we would certainly look at that. But we do have over 70 or around 70 core carrying reps around the globe, many of whom are focused on enterprise now. So we are certainly capable of taking the product to market ourselves. If someone came along and it made sense to partner, and we have one deal on our pipeline where the partners, a big systems integration firm, that is doing a lot of work for a global energy company. And that's an example where it would make sense. And if we have success there, those guys will probably take us into many other accounts. So hope that answers your question. 
Aaron Schwartz: It does. And then secondly, you talked a lot about certain integrated suites and you talked about some of the benefit on discounting when you do bundle some of the VAS products with CDN. I don't know if you can talk to sort of the renewal cycle here for 2012, but are there -- if contracts come up for renewal, are they sort of more discoursed DPN and you're able to cross sell some of the VAS? Or is there anything you should think about here as contracts come up for renewal within the 12 months or so? 
Jeffrey Lunsford: No. I think that there's a dynamic at play is that as if we have multiple product relationships with the customer, then we certainly have a better chance of renewing that relationship and we have less price pressure on the various products that are renewing within the contract. So we're just doing a lot of work to cross sell and up-sell our customers and make sure we have competitive offerings. And then Doug walk through kind of the customer attrition metrics. The number is higher than we would like as far as the revenue contribution is very low to a bunch of smaller customers. Sooner or later, these smaller customers, we need to turn them into larger customers and there's some great opportunity there. 
Aaron Schwartz: Okay. Terrific. And last question for me, if I could. In terms of the Limelight deploy offering, does that require -- you talked about some hiring, but does that require more sort of professional services hiring or is there sort of front-end gross margin compression we think about before the services actually get turned on within the telcos? 
Douglas Lindroth: No. No, there's nothing that would front load it where -- because of doing that type of offering. Then it would really come down to depending on the structure of the arrangement that we enter into is what is going to ultimately be the revenue recognition on it, because it does have multiple components to it. So each deal, depending on how we negotiate it, will determine what the revenue recognition is. But there isn't any big upfront investment that will be inhibitor on gross margins. 
Operator: And our next question comes from the line of Chad Bartley of Pacific Crest. 
Chad Bartley: Can you guys talk about value-added services as a percent of revenue in Q1? Just to get a little more color there? And then similar to the commentary around diode services and the longer-term are beyond Q1. Can you talk about the CDN segments? What kind of growth is realistic there after it fell about 2% in Q4? 
Douglas Lindroth: Yes. So we had guided to VAS growth of about 60% to  70% year-over-year. So depending on where you pick within that range, will ultimately determine what is that VAS percentage of revenue. So I would say we'll see it in the 30% to 31-ish type percentage of total revenue. 
Chad Bartley: Okay. That's helpful. I just want to make sure I have the correct year-over-year comps. And then the follow up on the other segment, the CDN segment. It did decline a bit in Q4. Can you give us any color or commentary in kind of growth rates looking out to 2012? 
Douglas Lindroth: Yes. I mean we're not giving full-year guidance. So what we've seen, and we saw it towards the latter half of 2011 as well, part of it is the impact from the losses of Microsoft revenue. And then when you exclude that, it's still relatively flat or slightly down. And some of that has been our conscious decision not to chase the low-margin, low-priced CDN business and really focus on filling those valleys. And for us, it's investing in that and then really pushing our focus onto the value-added services. We really like seeing that 60% to 70% growth in the VAS area that ultimately has higher gross margins. So that's really where we're pushing the investment. So on the positive side, and Jeff talked about it was the CDN pricing. So we saw, again in Q4, when we look back to when we had the Q1 step down in margin that was related to the Netflix repricing. So when you look back over the last 9 months annualized price declines, were around 20% year-over-year. So it's much healthier than it's been. And so then it really comes down to the -- if that sticks, those kind of price declines, what kind of traffic growth are we expecting to see and how much of that then will ultimately be the revenue driver for the CDN? 
Chad Bartley: Okay. That's very helpful. And can I ask just one follow up? You talked about traffic. How would you characterize traffic growth in Q4? Was it stable? On a year-over-year basis, did it accelerate? I'm curious if you guys can talk about that. 
Douglas Lindroth: Well, in Q4, I think if you compare Q4's year-over-year traffic versus Q4 traffic the year before, it was probably our -- it's our strongest quarter of the year for traffic. And so they are about similar in terms of what the year-over-year growth rates were when you look at 2010 over '09 and then 2011 over '10. So very strong quarter from a traffic growth perspective. 
Operator: And our next question comes from the line of Michael Turits from Raymond James. 
Michael Turits: First, just a clarification. So do you see -- do you think of the year-over-year growth accounting for seasonality in volume growth rates? Did it pick up from third quarter to fourth quarter? [indiscernible]  you probably know, commented that they saw a slight tick up. 
Jeffrey Lunsford: On a year-over-year? 
Michael Turits: Yes. 
Douglas Lindroth: Yes, we did. I mean, we looked at it from Q3, as we know, going through the middle half of 2011, it was kind of a rough year for all of us in the industry, and then started to see things trend back more positive. And so the 9% sequential growth that we saw from Q3 to Q4 was stronger than we had seen in prior years on that same Q3 to Q4. 
Michael Turits: Okay. And then last quarter -- last couple of quarters, you've been giving a metric for value-added services on a pro forma basis, which should be helpful because I think the target is 40% plus by year end. What do you have now on a pro forma basis? I think it was 27% last quarter. 
Douglas Lindroth: Yes, this quarter for Q4 is just over 25% on a full pro forma. And as Jeff mentioned, during the prepared remarks that the Web content management from Clickability still running flat, although we're really starting to see the nice growth in bookings and pipeline. If we exclude them from our VAS and to see how the rest is doing on a pro forma year-over-year basis, it's closer to the 40% number. So we feel good about the Clickability, all the bookings that will then roll into the revenue and start getting the growth out of that portion of the VAS. So that's how we get comfortable exiting the year we can get to that 40% type rate. 
Michael Turits: Just take another slice of those numbers. The 25%, suppose you're including Web content management. Sorry for slicing here, but kind of normalize for the write-down that you mentioned on the deferred revenue. Does that make up some difference also? 
Douglas Lindroth: Yes. That would make up a few more percent, but not significant. 
Michael Turits: Okay. So a couple of points back? 
Douglas Lindroth: Yes, it was bigger earlier in the year the amount of that deferred revenue haircut has been declining each quarter. 
Jeffrey Lunsford: Yes, I think Michael, you'll see Web content management grow, and that's a product where the implementation is a little bit longer, because we're doing a lot of work flow work with the customers and from a signing of a contract to them, ticking into revenue can be as on long as 6 months, because you're going in and doing the discovery and everything. But once you're in, you're in for 5 to 10 years. And then the other pieces, the consulting part of our business has been flat for the last 2 quarters, we're modeling an excess of 20% growth for that this year. And once those 2 start growing, and we're seeing the right activity in the pipeline in right deals that were already closed for WCN that are an implementation to feel good about the guidance that we gave you on that sort of revenue range for exiting the year and the growth rates. 
Michael Turits: So if I can squeeze in another one. The guidance implies X just kind of normalize for the Microsoft revenues, will it still be down year-over-year on CDN revenues in the first quarter at the midpoint of everything. But does that start to go positive and any thoughts just a how you think about maybe second quarter, third quarter, fourth quarter then become more like a single -- mid-single-digit grower and how should we think of the CDN business, what you guys are targeting? 
Jeffrey Lunsford: Yes, I think you should think of it as we're cautiously optimistic about the pricing trends. As Doug said over the last 9 months kind of the annualized rates we've seen around 20%. And if we can pick up 50% traffic growth with those kinds of rates, you could see 20% growth there. If we pick up 40% traffic growth with those kinds of rates, you get 12% growth. So -- but we're being, sort of as I said, cautiously optimistic. We're also not going after the super high volume, lower margin video accounts that drive a lot of CapEx. We have really good video CDN business and we have great relationship with big customers. But when you look at kind of growth rates we can get out of the high margin software-as-a-service and cloud solutions just from our internal capital standpoint, we think that's where we should be focusing more growth dollars than just spending a bunch of CapEx to carry more exciting video but there's not a lot of margin there. So the video CDN is a great platform and it's going to always be a great platform for us, then we're going to fill the valleys and then launch these higher -- and continue to grow these higher margin services. 
 So I think that's why we can give you a revenue growth and traffic growth on CDN, but as you've seen over the last couple of years, it chews up a lot of CapEx. So we're trying to be sort of conscious of which levers we turn and which zone we put the throttle in. 
Operator: Our final question comes from the line of Rodney Ratliff of Capital Investments. 
Rodney Ratliff: Mostly housekeeping here, guys. I've got a couple that are basically 1- or 2-word answers and then I've got a couple that aren't. So Doug, did you say how much remains authorized on the repo? 
Douglas Lindroth: I didn't, but it's very little. Yes, I forgot the exact amount, but it's in the hundred thousand-ish range. 
Rodney Ratliff: Okay. And did you set a target? Because this is purely housekeeping here. Did you set a target for shares outstanding for 1Q and I just missed it? 
Douglas Lindroth: No, we didn't set that target. 
Rodney Ratliff: And following up on Donna's question about the customer count metrics, is that -- is the drop off -- is that largely related to count  methodological  differences? I mean, if you guys see a customer drop a little at a certain threshold, do you drop them out of  you dropped the customer count or what? 
Douglas Lindroth: If the revenue does drop, we do take them out of the count if they drop below $100. We're not seeing revenue from them of at least $100, we pull them out. So this is really the smaller customers that have not been recording revenue and pulling out. As I said, it's the attrition, the total dollar amount was about 0.5% in Q4 of revenue loss related to the customers that went away, so it was really a small amount of revenue impact. 
Rodney Ratliff: One here for Jeff or I guess either of you. My experience with reseller agreements talking about deploying here, typically it is pretty close to some type of a fixed margin target or a range for reseller agreements, either on the reseller's end or  on your end, meaning you're going to mark it a specific amount below rate card. Is that range bounded, or is there any sort of a target figure below stated commercial rate card that you have for deploy? 
Jeffrey Lunsford: Yes. So think of deploy as a managed service where we're getting paid what's in essence for a right to use our software and have it deployed on their infrastructure. So we don't have the kind of OpEx margins we would normally have. But then we also have people, we're also getting paid for our people who are helping to manage that platform. So a CDN is a living dynamic, vibrant, technical being that has a global footprint and things are changing everywhere all day long. And so it's not kind of install the database software and will run lights out. It requires a lot of management, and we're pushing new code daily and handling traffic congestion daily, so on and so forth. So the service is a combination of our software installed on their hardware and our people managing it. And that is what we get paid for. So I think you're kind of trying to get is it going to be a different gross margin profile than when we sell it. And it should be higher margin. They won't pay us as much on a unit basis as we would charge directly to customer, but we don't have all the, again, the OpEx and CapEx cost that they're handling. And we've -- this is a newly named product that we've done this in 3 markets. We've done this in India, South Africa and Canada to very good success, and we're looking to replicate that. As the other telcos around the globe are feeling pressure in their networks and they're all interested in having solutions beyond just transit and transport to sell, it's become very topical in the telco community.
 Okay. Operator, at this time, we will conclude the call. Thank you all for your time today, and we will see you out there in the market. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a good day.